Operator: Good day, and welcome to the NewLake Capital Partners Third Quarter 2025 Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the call over to Valter Pinto from Investor Relations. Please go ahead.
Valter Pinto: Thank you, operator. Good morning, and welcome, everyone, to the NewLake Capital Partners Third Quarter 2025 Earnings Conference Call. Joining me today are Gordon DuGan, Chairman; Anthony Coniglio, President and Chief Executive Officer; and Lisa Meyer, Chief Financial Officer. Before we begin, please note that certain statements made during today's conference call may be deemed forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results could differ materially due to a variety of risks and uncertainties. For a detailed discussion of these risks, please refer to our press release issued yesterday, our Form 10-Q for the quarter ended September 30, 2025, and other filings with the SEC. In addition, we will discuss certain non-GAAP financial measures, including FFO and AFFO. Reconciliations to the most directly comparable GAAP measures are included in our earnings release. With that, let me turn the call over to our Chairman, Mr. Gordon DuGan.
Gordon DuGan: Thank you, Valter, and good morning, everyone. Our third quarter financial results were in line with our expectations, reflecting the quality of the investments we made several years ago and the disciplined underwriting approach we have taken since the company's inception. Where possible, we are being proactive in managing risk within our portfolio as demonstrated by lease amendments we announced with C3 and similarly by our collaboration with Curaleaf to relocate a dispensary asset last quarter. Being responsive to a changing landscape is critical to managing risk and optimizing long-term shareholder value. As we've discussed in prior quarters, the cannabis sector remains difficult with limited access to capital, slower market growth and ongoing regulatory uncertainty. Given these dynamics, we remain cautious on new investments in the cannabis sector and are focused on maintaining a strong balance sheet and sustaining our dividend coverage. At the federal level, we continue to await meaningful reform that would improve the operating environment for these state legal businesses. Unfortunately, the recent government shutdown and related political gridlock have further delayed progress on this front. While the timing remains uncertain, we believe reform will ultimately occur. And when it does, NewLake will be well positioned to benefit. In the meantime, we remain focused on execution, supporting our tenants and delivering long-term value for our shareholders. With that, I'll turn the call over to Anthony.
Anthony Coniglio: Thank you, Gordon, and good morning, everyone. As Gordon mentioned, our third quarter results came in line with expectations. AFFO increased more than 2% versus the third quarter of 2024, and our AFFO payout ratio was 82% within our targeted range of 80% to 90%. We collected all scheduled rent during the quarter, except for the 2 AYR properties where we received cash rent for July and applied security deposit for August and September. We have since regained control of those AYR properties in Pennsylvania and Nevada, completed the necessary cleanout and preparation work and brought them to market as we begin the re-tenanting process. Overall, our portfolio remains in a solid position. Tenants representing approximately 50% of our annual base rent reported solid third quarter results this week. Curaleaf expanded adjusted gross margins and generated over $100 million in cash flow year-to-date. Cresco delivered positive cash flow, reduced debt and completed a refinancing, while Trulieve delivered some of the highest gross margins in the industry, nearly 60% and generated over $60 million of free cash flow during the quarter. Green Thumb also reported another profitable quarter with $23 million of net income and $74 million of operating cash flow. That said, the broader cannabis landscape remains challenging in the absence of federal reforms, and we continue to focus on proactively managing risk and identifying opportunities to strengthen our portfolio. A good example, as Gordon mentioned, is our recent lease amendments with C3. Lisa will provide more detail. But as a reminder, we discussed in prior quarters that higher-than-expected construction costs made the Hartford project much less attractive. We worked collaboratively with the tenant on a solution that manages our risk while maintaining AFFO for our investors. This follows a similar collaboration last quarter with Curaleaf, where we worked with the tenant to relocate a dispensary asset. Altogether, this marks the fifth time we have partnered with tenants to find creative solutions to address their needs while strengthening our risk profile and enhancing long-term shareholder value. Turning to regulatory matters. We're encouraged by actions at the state level, but concerned with the continued delays in federal reform. The recent expansion of the Texas Medical marijuana program and this week's election of a new governor in Virginia, which should lead to the long-awaited launch of adult-use are both good examples of continuing opportunities for growth happening at the state level. However, the health of the cannabis industry remains in a prolonged holding pattern awaiting meaningful federal reform. This lack of clarity continues to weigh on an operator sentiment and capital formation. Against that backdrop, we continue to focus on maintaining our disciplined underwriting and conservative balance sheet while remaining cautiously optimistic regarding the broader environment. Lastly, before I turn it over to Lisa, I want to address a question I've been getting more frequently about whether we plan to diversify into other real estate sectors outside of cannabis. Our view is that it's our fiduciary responsibility to evaluate all avenues for creating long-term value for shareholders and that does include considering opportunities beyond cannabis. We continually monitor the broader real estate landscape to identify attractive investments, particularly where we can leverage our expertise in underwriting highly regulated special purpose properties. We'll continue to do that work. And if we find a compelling opportunity that aligns with our strategy and risk profile, we'll bring it to the Board for consideration. With that, I'll hand the call over to Lisa to review our financial performance.
Lisa Meyer: Thank you, Anthony, and good morning, everyone. In the third quarter of 2025, our portfolio generated total revenue of $12.6 million, a 0.3% increase year-over-year, reflecting the solid performance of our portfolio in a challenging environment. Key drivers of the increase include a full quarter of rental income from the 2 Cresco dispensaries acquired earlier this year. While we did not fund any improvements during the third quarter, we received a full quarter of rental income from $1.2 million of improvements funded after September 30, 2024, at our Arizona and Connecticut cultivation facilities. And annual rent escalators across the portfolio continue to provide consistent revenue growth. These increases were partially offset by the vacancy of our Fitchburg, Massachusetts property following Revolutionary Clinics departure in July of 2025. As mentioned earlier, during the quarter, we applied $505,000 of security deposits from AYR to cover August and September rent for our Pottsville, Pennsylvania and Sparks, Nevada properties after AYR failed to make rent payments beginning in August. At quarter end, approximately $408,000 of security deposits remained, which we subsequently applied to cover the nonpayment of October and November rents. For the 3 months ended September 30, 2025, net income attributable to common shareholders was $6.7 million or $0.32 per diluted share compared to $6.4 million or $0.31 per diluted share in the third quarter of 2024. Adjusted funds from operations increased 2.4% year-over-year to $11 million or $0.52 per share, primarily driven by lower general and administrative expenses. We declared a third quarter 2025 cash dividend of $0.43 per share of common stock or $1.72 on an annualized basis. The dividend was paid on October 15, 2025, to stockholders of record as of September 30, 2025. The dividend remains fully supported by the earnings power of our portfolio with an AFFO payout ratio of 82%, comfortably within our target range of 80% to 90%. As of September 30, 2025, our balance sheet remains among the strongest in the sector with $432 million in gross real estate assets and a very conservative debt profile of just 1.6% debt to total gross assets with no maturities until May 2027. Our liquidity is strong with $106 million available, including $23.6 million in cash and the remaining capacity under our $90 million revolving credit facility. This provides us with ample flexibility to execute our business strategy and grow earnings by continuing to invest in high-quality assets. Lastly, I'd like to briefly discuss the recent amendments to our lease agreements with C3 Industries as outlined in our earnings release and Form 10-Q. These changes reflect our collaborative approach to tenant relationships. Under the amended Hartford lease, we agreed to pursue a sale of the property, which includes a make-whole provision to address our respective investments. C3 will continue paying rent through the sale date and after which a portion of that rent will be reallocated to the Missouri lease. This incremental rent will remain in place until we reinvest with C3 under our right of first refusal agreement. With that, I will turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Pablo Zuanic with Zuanic & Associates.
Pablo Zuanic: Look, I know in the 10-Q and in the press release, you gave color on the impact on AFFO from AYR, but -- and you use some of the deposits for October and November. But can you try to quantify by the first quarter next year, what would be the full impact from AYR if the properties remain vacant? And also remind us, in the case of Revolutionary Clinics, was there any rental or deposits that were reflected in AFFO in the third quarter? And if not, what -- and if some was reflected, what would be the full quarter impact by the fourth quarter?
Anthony Coniglio: Yes. Thank you, Pablo, for the question. I'll address Revolutionary Clinics and then Lisa can talk about AYR. So for Revolutionary Clinics, if you recall, we had them staying in the facility during their receivership period, and they were paying cash rent and security deposit for that was utilized in previous years actually when they started their economic decline. And so that deal with the receiver was to get cash paid through the end of July. And so no, that arrangement has no further security deposits to apply. And then Lisa, why don't you address AYR?
Lisa Meyer: Yes. So with AYR, as we disclosed in our last earnings call, we think the impact for first quarter is going to be a little over $0.035, maybe $0.036.
Pablo Zuanic: Right. And similar question, in the case of C3, on a full quarter basis, what will be the impact on rental income?
Lisa Meyer: We structured that transaction so that it would have a de minimis impact on net income. So we don't anticipate seeing any decline in net income or AFFO as a result of that transaction.
Anthony Coniglio: To add to that, Pablo, they will continue to pay rent until the building is sold. Once it's sold, the revenue is going to move over to the Missouri facility. So we will see from an AFFO perspective, no adverse impact from that.
Pablo Zuanic: Right. I'll ask a couple of more, and apologies if there's people in the queue here. Look, I mean, obviously, if there's any other problems with your other tenants, I know you would disclose that, right? So I'll be careful about addressing questions about other tenants. So for example, PharmaCann is one of your tenants. I know a smaller tenant in your portfolio, but they have defaulted in leases with IIPR, that's public information. And then Cannabis is the company that has a stretched balance sheet. But I mean, obviously, both are current on your leases, right? And I'm sorry to ask the question, but given the public information, I see them as risky tenants. But again, the question is they are current, right?
Anthony Coniglio: Yes.
Pablo Zuanic: Okay. That's a simple question. And then just moving on, in terms of Virginia potentially going rec, Pennsylvania potentially going rec, Texas Medical, I know that there's potential for those markets to expand. We don't have an exact line of sight on when that will happen. But talk about the lead time in terms of when operators start approaching you negotiations, if that were to impact your book in a favorable way and you earn AFFO in a favorable way, are we talking about in a best case scenario, still 1 year out, 2 years out? How would you frame that?
Anthony Coniglio: Yes. I would say if your question is really getting to growth, the growth dynamic can come from existing states as well as ones that are experiencing expansion the way you just described. I would say that, that lead time for a dispensary could be a quarter. The lead time for cultivation should be 6 to 8 months. From a macro perspective, I would say that the industry is cautious, I think appropriately so, the industry is cautious with respect to large-scale CapEx projects. And so while we see a couple here and there for cultivation, I think for the foreseeable future, most of the opportunities available for sale leaseback in the sector will be dispensaries and smaller cultivation sites.
Pablo Zuanic: Right. Okay. Look, Anthony, I want to ask you one more question here, one last one. You, among the various CEOs out there in the industry are one of the most, I would say, high profile in terms of giving opinions about the industry. And I say that, of course, in a very positive way. You're very thoughtful in terms of your remarks about -- you make about the industry. I'd just like to hear, in your view, your opinion about the so-called promises that have been made by the President in terms of rescheduling the promises that he made through social before the election and the implied promises that were made around medical cannabis, hemp-derived CBD by the reposting of the Commonwealth project video into social back in September. Some of us -- I mean, I myself think that some of those promises, if they are promises, are somewhat in conflict, right, and that may delay and complicate things. But I'd like to hear your thoughts in terms of where -- the way you think about these promises and how it all plays out. And again, I'm taking the liberty to ask this because I think that you've given very thoughtful views on these topics in the past in other forums.
Anthony Coniglio: Well, thank you for the question, your kind comments. Yes, this industry has become sitting on the edge of its seat with every comment, every post, every indication to try to figure out when this reform will occur. And each of these data points are positive and move us in a positive direction. But for me, I'd step back and say that when you look at polling, when you look at sentiment in this country, when you look at the political dynamics of cannabis, I do firmly believe that we will get reform. So it's really a question of when that occurs. I think the other reality, if I believe firmly that we'll get reform, I also believe firmly that politically, this is not a priority for any party. I think both parties have demonstrated that through the last couple of administrations. So I do believe this administration supports reform. I do think that we will get it. I just think there is no way to know when the political landscape lines up with the legislative landscape and the election calendar to actually get the meaningful reform that the industry should have and needs. I hope that answers your question. So I guess let me summarize for you, Pablo, by saying long-term optimistic, but I think sometimes as an industry, we sit on the edge of our seat with too many of these individual statements. They all paint a mosaic of reform, but I don't think we can utilize any of this to try to predict the timing. And then one more comment, you mentioned CBD. I think we also need to recognize that the hemp-derived products have had a significant impact on the industry. And if it means waiting a little bit longer for federal reform, if we can get regulation around the hemp-derived products, which I don't think anybody ever intended to truly legalize under the 2018 Farm Bill, then I'm willing to wait a little bit longer so we could get it right and get this industry on a long-term foundational -- on a foundation built with long-term benefits of reform soundly in place.
Operator: [Operator Instructions] It appears we have no further questions at this time. I'd like to turn the floor back over to Anthony for closing comments.
Anthony Coniglio: Great. Well, thank you, everybody, for joining our call today. We appreciate all of your support. And as we approach Thanksgiving, which isn't that far away, we're thankful for you all as investors and supporters of our company. We hope you have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.